Operator: Good day, ladies and gentlemen, and welcome to the Tutor Perini Corporation Fourth Quarter and Fiscal Year 2014 Earnings Conference Call. My name is Roya, and I'll be your coordinator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. [Operator Instructions] I would now like to turn the conference over to your host for today, Mr. Jorge Casado, Vice President of Investor Relations. Thank you. Please begin.
Jorge Casado: Good afternoon, everyone, and thank you for your participation today. Joining us on the call are Ronald Tutor, our Chairman and CEO; and Michael Kershaw, Executive Vice President and CFO. Before we discuss our results for the fourth quarter and fiscal 2014, I would like to remind everyone that during today's call, we will be making forward-looking statements which reflect our current analysis of existing trends and information. There is an inherent risk that actual results and experience could differ materially. You can find a discussion of our risk factors, which could potentially contribute to such differences, in our most recent Form 10-K, which will be filed today, February 26, 2015. With that, I will turn the call over to our Chairman and CEO, Ronald Tutor.
Ronald N. Tutor: Thanks, Jorge. Good afternoon or good evening, whichever you may be, and thank you for joining us. I'm pleased to report that the company concluded another excellent year with good fourth quarter performance and strong full year results. Michael Kershaw will go over the financial details later. But in summary, our revenue, operating income and backlog all grew significantly for the year. Furthermore, our yearend consolidating operating margin was the highest it’s been since 2010. I'm also pleased that during the fourth quarter, we received final payment as expected from the Massachusetts Department of Transportation for the Central Artery settlement. And we also reached a global settlement with MGM and other related parties regarding the CityCenter dispute, which essentially resolved all material issues that have been ongoing with MGM over the past 5 years. We received final payment from MGM on this settlement earlier this month and should receive final payment from the insurance companies in settlement of our legal fees on the same issue this week. 2014 was a year of significant new awards for the company across all our segments. I will go into greater detail on some of the major awards later. But for our Building and Specialty Contractors segments in particular, the level of new awards resulted in a very strong backlog growth. Year-over-year, our total backlog grew 13% to $7.8 billion, as a result of the large volume of awards. More than 70% of our backlog today continues to be comprised of higher-margin Civil and Specialty projects. I will now provide an update at some of our larger key projects underway. At Hudson Yards in New York, we are almost complete with the initial scope of work for the Amtrak tunnel and are well along on the platform over the Eastern Rail Yard. The tunnel structure is complete and backfilled, and the remaining work involves only some relocation of utilities, the installation of a limited amount of track work and we expect to complete by summer of 2015. On the platform project, we have now completed the installation of 185 out of a total of 242 caissons seated in the bedrock. Steel erection work is currently 35% complete. The platform is scheduled to complete in June of 2016. Work on the MOE or maintenance of equipment building, which rests on the platform, is well underway. We are currently finishing the steel framework and have begun work on the enclosure. We expect to complete the MOE in October of this year. Work on the South Tower continues to advance well, with concrete framework now completed up to the 28th floor. The South Tower is scheduled to complete in of March 2016. In addition, we are continuing the foundation work on Tower D, a residential condominium tower located west of the South Tower. And finally, we are continuing to proceed with the retail gallery, estimating a May start for its construction. We expect to receive the contractors -- the contracts, excuse me, and notice to proceed for Towers D and E and retail during the first half of 2015. Our Civil Group performed significant work during the fourth quarter on the San Francisco Metropolitan Transit Authority Stations project, as well as the MTA East Side Access, CM006 in New York City and the JFK Runway reconstruction in New York and on various bridge projects in the Midwest and New York. On the Seattle SR99 project, our joint venture, Seattle Tunnel Partners recently completed the excavation of the 120-foot deep access shaft being used for the removal, repair and enhancements of the TBM cutter head by Hitachi Zosen. Last week, we successfully tunneled into place within the access shaft and positioned ourselves for the repairs which have now commenced. We expect the repairs to be completed and tunneling to recommence by July of this year. Next, I will share some information about our recent new orders, backlogs and pending awards. In the fourth quarter, we had approximately $948 million of new awards and adjustments to existing contracts, which were more than offset by revenue of $1.2 billion for an overall book-to-bill of 0.8. However, for the entire year, our book-to-bill was strong at 1.2. We ended the year with a backlog of $7.8 billion, up $887 million compared to the end of 2013. Our backlog is now 45% Civil, 28% Building and 27% Specialty. Our pending awards at the end of the fourth quarter were $4.1 billion. The majority of these pending awards that continue to be for various building projects, and the largest component, approximately $2.3 billion, represents the estimated total construction value for the aforementioned phases D, E and the retail of Hudson Yards. The Building Group had fourth quarter new awards and adjustments of $422 million and ended with a backlog of $2.2 billion, up 25% from last year. The largest awards included a $63 million educational facility in California, $35 million of initial funding for a pharmaceutical facility, pending an additional $165 million of funding hopefully to shortly follow, a $34 million courthouse in California, the $31 million hospitality project in Florida and a $27 million educational facility also in Florida. The Building Group continues to have several large pending awards, including the aforementioned phases at Hudson Yards, which are expected to be booked into backlog. The Specialty Contractors Group had fourth quarter new awards and adjustments totaling approximately $401 million and ended with a backlog of $2.1 billion, up 25% compared to last year. Significant new awards included an $88 million mass transit electrical upgrade in New York, an $87 million transit project in Downtown San Francisco in California and 2 mechanical contracts at the World Trade Center in New York worth approximately $64 million. New York City continues to be an extraordinarily strong marketplace for both our mechanical and electrical subsidiaries. The Civil Group had fourth quarter new awards and adjustments totaling $125 million and ended with a backlog of $3.6 billion, up slightly from last year. Next, I will discuss our bidding opportunities. The Civil Group sees a $9 billion pipeline of prospective work to be bid and awarded over the next 12 months. The largest of these projects is Construction Package 4 in the California High-Speed Rail, the next segment that we believe will be bid in the latter part of this year. Other Civil projects currently includes $6 billion in various highway, airport and continuing mass transit all over the country. We are monitoring developments at the federal and state levels that could lead to incremental funding for civil transportation and mass transit projects over the coming years. Recently, there have been calls by government leaders to find a longer-term sustainable solution to fund transportation. Without getting into all the details that have bounced around our government, we see it as a very strong undercurrent ongoing to resolve the issues with the U.S. infrastructure and to fund them accordingly. Overall, there appears to be greater willingness today for bipartisan compromise on transportation funding solutions. So we remain watchful as these developments progress as they have a potential to significantly enlarge our pipeline of Civil work. The Building Group continues to see an $11 million pipeline of prospective work, and we recently learned that the Port Authority will await the outcome of the New York Airport's design competition introduced by the governor last October before making its deemed selection for LaGuardia. We are presenting it tomorrow to the Blue Ribbon Committee, and we are in hopes that selection will take place within the next 60 days. The Specialty Contractors Group has a minimum of a $4 billion pipeline of prospective opportunities over the next 12 months, with both our West Coast operations as well as Fisk out of Texas having a reasonable amount of work to bid given their significant backlogs and again, given New York City's boom. Our mechanical and electrical cities here are already at record levels of revenue and backlog with more work coming. Based on our current market or -- excuse me, based on our current backlog and market outlook, we are introducing our guidance for fiscal 2015, with revenue expected in the range of $5 billion to $5.5 billion and diluted earnings per share expected in the range of $2.20 to $2.50. The earnings per share guidance assumes a tax rate of 41%, 49.5 million shares, average diluted outstanding and $41 million or $0.49 of depreciation expense, $5 million or $0.06 of amortization expense and $39 million or $0.46 of interest expense. At the midpoint, our guidance reflects growth of 17% in revenue and 7% in earnings per share, respectively. I will now turn the call over to Michael Kershaw to go over the details of our financial results.
Michael J. Kershaw: Thanks, Ron. As mentioned, we concluded another strong year in 2014, led by the performance of our Civil Group. We achieved our guidance for both revenue and EPS for the year. Revenue for the year was $4.5 billion, that's up 8% from last year's $4.2 billion and represents our highest annual revenues since 2009. Revenue growth was due primarily to a significant increase in Civil, some increase in Specialty and similar revenue this year to last year in Building. For the fourth quarter, revenue was $1.2 billion, which is up 9% from last year's $1.1 billion. Most of that increase came in Building, with some coming in Specialty and Civil being flat. Gross profit for 2014 was $505 million, up 8% from $467 million last year. Our gross margin for the year, the 11.3%, is up slightly from last year's 11.2%. Fourth quarter gross profit was $130 million versus $140 million in the fourth quarter of last year. SG&A for the year was $264 million, stable compared with 2013. Our fourth quarter SG&A was $65 million, down 6% from last year's $70 million, which is due to reduced overhead cost across all segments and corporate, partially offset by increased performance-based compensation. Our income from construction operations for 2014 was up 19% at $242 million versus $204 million last year, which was driven by strong growth and profitability in our Civil segment, combined with flat SG&A despite the revenue increase for the year. Our fourth quarter income from construction operations was $64 million versus $70 million in the fourth quarter of 2013. Our full year and fourth quarter operating margins were both 5.4%, which is the highest year-end operating margin we've had since 2010, and that operating margin is up 50 basis points from last year's operating margin. Our net income for 2014 was $108 million, up 24% from last year's $87 million and it represents the highest net income since 2009. Our fourth quarter net income was $28 million versus $33 million. Our diluted EPS for the year was $2.20, which met our guidance. Fourth quarter diluted EPS was $0.56 versus $0.68 in the fourth quarter of last year. Our fourth quarter revenue and EPS were generally in line with our internal expectations, with continued strong operating performance in Civil and improved profitability in Specialty Contractors, offset by a small operating loss in Building. Moving on to discussing each of our segments and starting with the Civil segment. Our revenue was up for the year $1.7 billion, which is up 17% from last year's $1.4 billion and represents our highest full year revenue in Civil, due primarily to increased activity on Civil projects at Hudson Yards, mass transit projects in California and New York, bridge projects in the Midwest and New York and a runway reconstruction project in New York. This was partially offset by decreased activity on the tunnel projects in the -- on the West Coast, certain highway projects in the East Coast and an airport parking apron project that was completed in 2014 in -- in '13 in Guam. For the fourth quarter, revenue was $449 million, pretty flat with last year's $444 million, which -- that quarterly increase was due primarily to the increased activity on mass transit, the bridges and runway projects that I mentioned. And that was partially offset by decreased activity on some of our higher-margin projects and the tunnel projects that we mentioned. Income from construction operations for 2014 was up 24% at $221 million versus $178 million in 2013. This is due primarily to the strong increased revenue and the net favorable adjustments associated with the legal settlements that were reached earlier in the year. Our full year operating margin of 13.1% is up 80 basis points from 12.3% in 2013, and it represents the highest operating margin for Civil ever. Our fourth quarter income from construction operations at $65 million was lower than last year's $73 million, primarily due to the decreased volume on some of our higher-margin projects last -- which benefited the results in 2013. Our fourth quarter of Civil operating margin was 14.4% versus 16.5% in the fourth quarter of '13. Moving on to our Building segment. Revenue here for the year was $1.5 billion, down slightly from last year's $1.6 billion. That was due primarily to decreased activity on hospitality and gaming projects in several states and health care projects in California. For the fourth quarter, revenue was $422 million, up a strong 22% from last year's $347 million due primarily to increased activity on an industrial project in California, and this was partially offset by decreased activity by a California courthouse project and hospitality and gaming projects that I mentioned earlier. Our income from construction operations in 2014 was stable at $25 million this year compared to $25 million last year. And our full operating -- our full year margins at 1.6% was also consistent with 2013. The fourth quarter was -- profitability was negatively impacted by legal expenses in the quarter, which led to our fourth quarter operating margin being a negative 0.9% versus a positive 1.1% last year. On our Specialty Contractors segment, revenue for the year was $1.3 billion, which is up 10% from last year's $1.2 billion. And this, of course, represents our highest Specialty Contractor revenue ever. And our revenue growth was due primarily to increased activity on various mechanical projects on the East Coast, 2 signal system modernization projects in New York and various electrical projects in the Southern U.S., and this was partially offset by the Hurricane Sandy related projects that we performed in 2013. For the fourth quarter, our revenue at $331 million is up 7% from last year's $309 million, and that's due to increased volume on electrical and mechanical projects in the East Coast, partially offset by decreased activity on various smaller electrical projects in the Southern U.S. Our income from construction operations for 2014 was $51 million, up 4% from last year's $49 million, and that's based on revenue changes and the improved performance that we've achieved this year on 2 of our businesses that's partially offset by a settlement that we booked last year. Our full year operating margin was 3.9% versus 4.1% the last year. Our fourth quarter income from construction operations at $20 million is up significantly from last year's $4 million, and that improvement over the year is based -- year-over-year is based on performance -- is certainly an improved performance over our -- earlier in the year and is due primarily to the increased volume that I mentioned and the progress -- some progress that we've made on claims. Our fourth quarter Specialty operating margin was 5.9% versus 1.4% the last year, and we continue to focus on improving margins in this segment, particularly at our mechanical business unit in New York. Speaking for a few minutes about our other expenses. Depreciation and amortization expense for the year was $56 million, down $3 million from last year's $59 million. Fourth quarter depreciation and amortization expense was $14 million, down 22% from last year's $18 million. As Ron mentioned, we anticipate depreciation and amortization expense in 2015 of approximately $46 million, and this reduction is due to reduced acquisition-related amortization that we incurred this year and will not be incurring going forward. Our interest expense for 2014 was $45 million, which is down slightly compared to the $46 million that we had last year, and that's the result of lower rates that we've benefited from this year, even though our borrowings have increased. Fourth quarter interest expense was consistent at $12 million in both years. Our income tax expense for 2014 was $80 million compared to $52 million last year, and this is due primarily to the increase in pretax income, expected increased activity that we actually achieved in higher tax jurisdictions and year-end tax true-ups that are part of the normal process, the return to provision adjustments that also indirectly impacted the current year provision calculations. They were more significant this year and primarily related to state tax returns where that adjustment occurs in the fourth quarter. As a result, our fourth quarter income tax expense was $26 million versus the $20 million that we incurred this time last year. As Ron mentioned, we expect a 41% effective tax rate for 2015 because of where we expect to perform work. Finally, on our balance sheet. Our working capital at December 31, 2014 was $1.1 billion that is up from last year's $787 million. $136 million of that is cash and cash equivalents versus $120 million last year. And the bulk of the remainder comes from our project-related working capital which increased this year as a result of increased activity across all of our segments. In the fourth quarter, we generated $87 million in cash from operating activities and -- versus $62 million last year, and our Q4 generation of cash is essentially due to payments that we received related to the legal settlements and also strong collections across all of our segments, especially in the month of December. The cash generated in the fourth quarter was used to pay down debt. Our total debt at December this year was $865 million compared with $946 million at the end of the third quarter, albeit that being higher than the $734 million that our debt was at the end of 2013. I'll turn the call back over to Ron for closing comments.
Ronald N. Tutor: Thanks, Mike. I'm pleased with our overall performance in 2014, the most significant aspect of which was we won the judgment on C11, generating an $88.7 million judgment, of which in excess of $50 million came to us in the fourth quarter, in addition to a resolve of the Santa Monica Hospital, the MGM CityCenter claim and the legal fees associated with it. In the first 60 days of 2015, we achieved over $200 million in cash. Not only is it -- the cash associated with these wins, for the lack of a better term, it's the fact that those monumental litigations are behind us, and we were vindicated in every way in all our positions, having essentially either settled or won outright in excess of what we booked and with interest and legal fees being reimbursed on MGM. In addition, we continue to execute well, which is evidenced by our average earnings on our Civil and Specialty backlog, and we continue to remain focused on adding to our already significant backlog. This concludes our prepared remarks. I'll now ask the operator to open the call for questions. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of John Rogers of D.A. Davidson.
John B. Rogers - D.A. Davidson & Co., Research Division: A couple of things. First of all, the legal costs that you mentioned in the fourth quarter that weighed on the Building segment, how significant were those?
Ronald N. Tutor: Mike, you want to handle that?
Michael J. Kershaw: Yes. I mean, it's about -- it's a few million dollars. I mean, it's not a lot. But with Building being such a thin margin job, just a few million dollars can swing you one way or the other.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. So the business would have been closer to breakeven without it?
Michael J. Kershaw: Yes.
John B. Rogers - D.A. Davidson & Co., Research Division: And then in terms of the SR99 tunnel project, the -- I mean, I noticed that the depreciation numbers for next -- or for 2015 look a little lower, I guess, from what I thought they would be. Is that because of the timing of when that -- the machine starts back up again? And then also, where are you in terms of receivables on that and what's in dispute and how...
Ronald N. Tutor: You're talking about SR99 again?
John B. Rogers - D.A. Davidson & Co., Research Division: Yes, yes.
Ronald N. Tutor: Where we are right now is we're having discussions with the owners. We just won a very significant DRB. We have another disputes resolution board going in another month. I'm still more confident than ever that we will resolve all the issues during 2015 favorably for the joint venture.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. And the depreciation -- still the plan, the...
Michael J. Kershaw: The depreciation is -- that we're reporting here excludes anything associated with it because really, it's neutral to us.
Ronald N. Tutor: It's neutral. It's a joint venture. The equipment that was purchased was purchased for the project, get written off to the project and won't hit any of our balance sheets. And in effect, let's take the tunnel machine, 90% of the cost of the tunnel machine was written off as a direct cost of the job. The balance is just a salvage value.
John B. Rogers - D.A. Davidson & Co., Research Division: Got it. Okay, that -- sorry, that explains it. And then just last thing, in terms of the priorities for the cash at this point, I mean, you mentioned the $200 million so far this year, I don't know how much is going to be consumed by working capital in 2015 or -- I mean, is it debt reduction?
Ronald N. Tutor: A part of it. I'd say, the significant portion of it will go to debt reduction, probably at least 2/3 of it. We're just debating as we speak on which debt to reduce. And we have a couple of more significant claims we expect to resolve in the next 180 days that will contribute to that.
Operator: Our next question comes from the line of Steven Fisher with UBS.
Steven Fisher - UBS Investment Bank, Research Division: Mike, just looking for a little more clarity on the guidance. Can you give us a sense of which segment do you expect to grow faster and which is slower? It seems like the margins are implied to be lower than they've been for a while. So I'm just kind of wondering what you're expecting there. And I guess, related to that, I'm surprised to hear that the Building business is really only at breakeven. So could you talk to some of those points?
Ronald N. Tutor: I'll handle it, Mike. The -- our Building business is essentially flat. It has become a 1% business after G&A. And I don't see any appreciable increases. An appreciable increase in the Building business goes from $20 million to $30 million, whereas when you look at the Civil business, which I believe made in the order of $200 million in 2014, a comparable increase in it is enormous. Our business is focused on Civil and Specialty, which -- in particular, Specialty, I'm looking for significant growth in 2015 and '16, and we have 2 very large job spending, one, of course, is the very significant LaGuardia, which we've been sitting on our hands for over 6 months waiting, which is a very large multibillion dollar contract that we sponsor. So that and Hurricane Sandy has put out again another RFP, which we're waiting word any day to see if we've been awarded a piece of it. So I still see, as -- the Civil business and the Specialty business continuing to drive growth and the Building business just basically in a stable hold-its-own mode.
Steven Fisher - UBS Investment Bank, Research Division: Okay. So to be clear though, Ron, you stay flat. The $25 million of profit for the year, it sounds like that's generally your expectation for 2015, not a breakeven.
Ronald N. Tutor: No, we won't be a breakeven. As I recall, we didn't breakeven in 2014. I think the fourth quarter did. And you correct me if I'm wrong, Mike, as I recall, the results of the Building division were somewhere in the $17 million or $18 million for the year.
Michael J. Kershaw: Well, we mentioned it. The income from construction operations was $25 million for the year.
Ronald N. Tutor: For the Building Group?
Michael J. Kershaw: For the Building, yes. So I mean, Steve, I wanted to -- you asked a question about margin dilution. As we booked at the back end of the year, a lot of work on Building, some of that is going to flow through to revenue next year so revenue for next year, Building should be higher. But that will overall dilute the margins that we talked about because of what Ron was talking about. It's a lower-margin business.
Steven Fisher - UBS Investment Bank, Research Division: Okay. And Mike, Q1 -- or Ron, has historically had a tendency to surprise the downside. Obviously, there's more weather going on in this year. So just could you clarify -- are you expecting Q1 to be up year-over-year on an EPS basis?
Ronald N. Tutor: No. No, it's been absolutely freezing in New York, for those of you that live here. We're just unable to work. It's been an extremely cold first quarter unless there's an amazing turnaround. Q1, it will lull. It just seems to always be as long as we're focused in the East to be difficult because we just don't generate the revenue given the weather.
Steven Fisher - UBS Investment Bank, Research Division: All right. So probably down year-over-year.
Michael J. Kershaw: Yes. And Steve, as you know, our guidance is always weighted towards the back end of the year based on that -- those kind of analysis.
Steven Fisher - UBS Investment Bank, Research Division: Okay. And then the bookings in Civil were pretty light. Where do you think we are in the cycle of big projects that will meet your criteria? Do you think there's enough out there that you can still book within those -- the prospects you mentioned? Or do we need that highway legislation come through to broaden the pie?
Ronald N. Tutor: Well, of course, no, we're not looking forward to anything from the government other than the usual. We only brought up that language to give you all a sense of what we're tracking. We're -- right now, of course, we're getting ready to bid a $500 million bridge in Washington, D.C. at the end of the first quarter, $200 million highways in Maryland and Virginia. We're getting ready to turn in a bid on a $500 million subway job in New York City, which is immediately adjacent to 3 contracts we currently have. So there is -- and of course, the multibillion-dollar LaGuardia that we're waiting on, on a literally week-to-week, month-to-month basis. So there always seems to be and flow of major work. And I really expect us -- given the fact there are so few of us in this business, I really expect to be able to maintain that Civil backlog growth.
Operator: Our next question comes from the line of Alex Rygiel with FBR.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: Ron, could you circle back towards the awards that are not yet in backlog and what your confidence level is with that $4 billion plus to sort of move into backlog over the next 6 months?
Ronald N. Tutor: Well, Tower D, we are working out the final terms of the language. That's an $800 million job at Hudson Yards. We are awarded and on the first draft of the Tower E at Hudson Yards. We are manned and in preconstruction for an award sometime. We've had awards for contract, I should say, at the retail which is another $700 million. Those total in the range of $2.5 billion. We've got a $60 million extension of our Amtrak, another Amtrak tunnel award as -- that we should be signing in the next couple of weeks. There doesn't seem to be any real issue about taking those all to contract.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: Secondly, as it relates to LaGuardia, can you give us a little bit more detail with regards to your presentation that you discussed tomorrow and then possibly what the time line looks like after that?
Ronald N. Tutor: Well, Goldman and I present tomorrow to the Blue Ribbon Committee, which, I assume and we've been told, should take the same format as when we present it to the Port Board some 4 to 6 weeks ago, and it will be just to explain our proposal, our construction pricing, everything about it. I just can't imagine that this thing can drag out more than another 30 to 60 days. And if you would have told me last June or July, we'd still be here at the end of February, I'd be amazed. But it is what it is, and it's a very significant project with a great deal of importance to us. And it's down to the 2 of us, so hopefully, a selection will be made.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: And then -- and lastly, as it relates to guidance, revenue growth guidance is very attractive in 2015, but your EPS guidance is somewhat flattish to up a little. That would obviously suggest your forecast margins to be down. Would you just sort of characterize that and expand upon that a little bit?
Ronald N. Tutor: How can I -- these are an assemblage of 7 or 8 divisions and long discussions. I think that our margins are somewhat down in the Civil end. They're still significant, but we're feeling some of the pressures of foreign competition. Our Building margins, if anything, have been trending up, believe it or not. But of course, when they trend up, they trend from 2% to 2.5%. So although it's somewhat positive, it's hardly enough to get you excited. We've been under pressure in the Civil end and, frankly, from the European contractors who are hell-bent to make a commitment here in the U.S., irrespective of the problems they've had. Our Specialty Group is definitely trending up. And I guess, the best way to explain it, we took a relatively conservative approach because we have so many large awards pending that we just want to see if we're going to get them. The other problem is, as you could see, I spelled out that we won't commence tunneling until July this year, which is another 6 months of no revenue and no margin out of the tunnel. And we are in a process of negotiating payment for 1.5 years delay, which means I won't really be able to get going with anything of consequence on high-speed rail until probably June or July of this year. Again, another 6 months with minimum revenue and profit, of course, that emanates from the revenue. So it really is a point of revenue sliding, which, of course, if it were here all year, our revenue would be up and our margins would be up because they're both very high-margin work.
Operator: [Operator Instructions] Our next question comes from the line of Mike Shlisky with Global Hunter Securities.
Michael Shlisky - Global Hunter Securities, LLC, Research Division: I had a question for you on LaGuardia. The last few months, we've been hearing about some additional scope at the actual airport itself, just talking about potentially adding above-ground rail service from the subway line as well as now today I'm just hearing -- in the paper today about expanding their flight options to include cross-country flights. So I was wondering if, a, that might affect the timing of the current -- things you're actually bidding on currently; or b, if it would look even better if you had 1 even larger package to kind of bid on.
Ronald N. Tutor: I don't think that it makes any sense for them to increase the size of the package. It's enormous enough now. And the subway that we're talking about, we have made allowances in our design for the subway to enter LaGuardia. It's just a matter of creating a gap in the buildings to when the subway is built by someone else. It's not a part of this contract. We have designed a set of terminals and garages that will receive it. That's already taken place. As far as the balance, they haven't really talked to us. But it's like everything else. If the contract gets awarded and then you sit down with our engineers and architects and say, "We need a design to receive the following," there's no magic. It's just getting them to make the decision is what has to take place.
Operator: We have no further questions at this time. I would like to turn the floor back over to Mr. Tutor for closing remarks.
Ronald N. Tutor: Thank you, everybody, for our usual year-end call. Appreciate all the questions. Hopefully, we were able to answer them for you and good day.